Operator: Good afternoon. My name is Jennifer and I will be your conference operator today. At this time I would like to welcome everyone to the Caleres Third Quarter 2015 Earnings Call. [Operator Instructions]. Thank you. And I would like to turn the conference over to Peggy Reilly Tharp.
Peggy Reilly Tharp: Thank you, Jennifer. Good afternoon and thank you for participating in the Caleres third quarter 2015 earnings call which is being made available to the public via webcast. I'm Peggy Reilly Tharp, Vice President of Investor Relations for Caleres. Earlier today we distributed a press release with detailed financial tables which is available on our website at Caleres.com. In addition, slides are available on our website for you to reference during this call. Please be aware today's discussion and contains forward-looking statements which are subject to a number of risks and uncertainties. Actual results may differ materially due to various risk factors, including, but not limited to, the factors disclosed in the Company's Form 10-K and other filings with the U.S. Securities and Exchange Commission. Please refer to today's press release and our SEC filings for more information on the factors and other factors which could impact forward-looking statements. Copies of these reports are available online. The company undertakes no responsibility or obligation to update any information discussed on this call at any time. Joining us on the call today are Diane Sullivan, CEO, President and Chairman; Ken Hannah, Chief Financial Officer and Rick Ausick, President of Famous Footwear. Today we'll begin with a strategy review from Diane, followed by a financial summary from Ken, before turning the call back over for Q&A. And now I'd like to turn the call over to Diane Sullivan.
Diane Sullivan: Thanks, Peggy. Good afternoon, everyone. Thanks for joining us. Clearly a great deal has happened in the industry and in the stock market since our Investor Day just over three weeks ago. But despite the challenging retail environment, we delivered a good performance in the third quarter. Our results were due to the continued execution of our strategy, the power of our diverse portfolio and, specifically for this quarter, our solid inventory planning and careful expense management. Let's start with a quick review of our success in the third quarter before we share our perspectives of what we think is going to happen in the fourth. Sales were up 1.8% in the quarter, thanks to a 4.4% comp increase at Famous and strong overall e-commerce sales for Famous.com and our Brand Portfolio sites which were up 40% combined. This resulted in third quarter adjusted EPS of $0.80 which exceeded both internal and Street estimates and was up 6.7% year over year. Gross margin declined approximately 30 basis points in the quarter for primarily two reasons. First, the boot to booty mix shift resulted in both lower AURs and margin in our Brand Portfolio and, second, Famous Footwear late-season sandal sales at lower margins contributed, as well. As we saw the retail environment becoming more challenging during the third quarter, we actively managed our expenses and our inventory position. We ended the quarter on a very positive note, with total inventory down 4.1% which puts us in a very good position as we move through the fourth quarter and enter 2016. Turning now to focus on Famous Footwear for a few minutes, where total sales were up 4.8% in the third quarter and same-store sales were up 4.4%. Once again, virtually all of our merchandise categories showed growth as we wrapped up another solid back-to-school season with same-store sales up 3.1% for the 10-week period beginning in mid-July. Canvas, part of our overall athletic business, was up solid double digits in the quarter, while total athletic was up 7.6%. Booties were also a big contributor in the third quarter and delivered double-digit sales growth. With a continuation of warm weather through the third quarter, we saw sandal sales of 2.4% and driven by women sandals which were up more than 7%. For tall-shaft boots we made adjustments where necessary and ended the quarter with sales and inventory in line with our expectations. Additionally, we saw improvement in the quarter at Famous.com, with our sales up more than 50% and representing more than 4% of Famous Footwear total sales. We experienced growth across mobile, tablet and desktop, with mobile delivering especially nice improvements. Both in-store and online, we saw increases in conversion rates, pairs per transaction and average unit retail, while traffic in total was up low single digits. It was a great quarter at Famous Footwear. The consumer response we saw really demonstrates the benefits of the investments we've made in this business which have helped us to continue to expand our share of market. Now, turning to our Brand Portfolio, where sales of $272.5 million were down 2.8%, while inventory was down 0.6%. Results in the quarter reflect the unseasonably warm weather, the strong U.S. dollar and excess inventory at many other peers and retailers. But we expect overall sales to be up for the fall season. Contemporary Fashion sales of $122.9 million were down 2.5% in the quarter. We did a good job of planning our inventory position and are working to manage through any residual tall-shaft boot products. Several of our brands also experienced lower AURs related to the boot to booty mix shift. And this situation, as you wouldn't be surprised, was similar for our healthy living brands, where total sales of $149.6 million were down 2.8%. However, growth at both Naturalizer international and our U.S. outlets stores located in tourist markets were also impacted by the strong U.S. dollar. Despite this pressure, Naturalizer same-store sales were up 0.3%, with improvement at our Canadian stores and our mall-based stores in the U.S. This positive shift is a reflection of the early work we've done to improve the performance of this business. Additionally, we saw good growth in e-commerce which was up nearly 20% in the third quarter. Now, turning to the fourth quarter, I would like to give you our perspective of what we're seeing at Famous Footwear and in our Brand Portfolio and, to some degree, in the overall landscape. Let's start with the area that we have control over. In terms of inventory, as you can see, we didn't overcompensate for the port delays which began late last year. However, as we wrap up the fourth quarter, we'll likely see an increase in Famous Footwear inventory year over year, but it will remain in line with our sales expectations. Inventory was unnaturally low at the end of 2014 and will begin to lap those port-related declines in the fourth quarter. While we're confident in our ability to manage the factors under our control and that includes expenses, as well, we also recognize that we're not immune to the external market forces, like everyone else. We would benefit from a blast of winter which it looks like maybe there's a little bit of that coming. We also need to monitor the promotional cadence this quarter. We're going to need to see how open to buy unfolds as the industry works through the excess inventory in the marketplace. But even with all of these challenges, we believe our 2015 adjusted EPS guidance range reflects these potential uncertainties. We remain focused on delivering consistent profitable and sustainable growth, as we said at our investor day. Going into the fourth quarter, we will continue to reap the benefit of our investments. Our ERP system has made it easier to advance our global supply chain initiatives in our Brand Portfolio, while our digital investments have helped keep Famous Footwear ahead. Both sides of our business will benefit from the consumer fulfillment work being done at our distribution centers to improve our speed, flexibility and capacity. And as we continue to provide our consumers with the opportunity to shop the way they want, when they want, we're going to continue to see results like these. I remain confident in our ability to successfully reach our goals over the long term. And with that, Ken, I'd like to turn it over to you.
Ken Hannah: Thank you, Diane and good afternoon, everyone. As mentioned earlier, net sales for the quarter were $728.6 million, up 1.8% excluding shoes.com which was sold in December 2014. Consolidated gross margin for the quarter was 39.6% of sales, down 30 basis points. As Diane mentioned, we were affected by the planned boot to booty mix shift, as well as the unseasonably warmer weather, resulting in an increase in late season sandal sales instead of tall-shaft boots. Our total SG&A expense was $236.2 million or 32.4% of sales in the third quarter, a 20 basis point improvement year over year, as we managed our discretionary spending during the quarter in a challenging retail environment. For the quarter, depreciation and amortization was $12.9 million, while capital expenditures were $25.2 million, reflecting the increase in investments in our distribution centers associated with our consumer fulfillment initiative. For the third quarter, our net interest expense of $3.9 million was down 23.3%, reflecting the benefit year over year related to the refinancing of our senior notes in the second quarter. Our corporate tax rate was 26.7% for the quarter and 26.4% year to date, reflecting our continued use of existing tax loss carry-forwards. Net earnings were $35.2 million in the third quarter or $0.80 per diluted share, versus $33.1 million or $0.75 per diluted share in 2014. As a reminder, these results were adjusted for $1.2 million of debt extinguishment expenses that we incurred during the quarter related to the refinancing of our senior notes. From a productivity standpoint, Famous Footwear revenue per square foot continued to improve to $218 per square foot, up 2.5% on a trailing 12-month basis. During the quarter, we would net neutral at Famous in terms of store openings and closings, with 13 of each and in total operated 3 more stores year over year. For 2015, we're planning to open approximately 50 stores and expect to close approximately 45 stores. Now, turning to the balance sheet highlights, we ended the quarter with cash and equivalents of $86.3 million and had no borrowings against our revolving credit facility. Our overall inventory at quarter end was $544.3 million, down 4.1% from $567.8 million in 2014. At Famous Footwear, we ended the quarter with inventory down 2.8%, excluding shoes.com and we were down 3.1% on an average store basis. Inventory in our Brand Portfolio segment also declined in the quarter, down 0.6% as we continue to effectively manage our supply chain. Before we begin Q&A, I would like to remind everyone of the updated FY15 guidance we provided at our Investor Day on October 29 which included earnings per diluted share for the year of between $1.95 and $2.00, adjusted for any debt extinguishment expenses. And with that, I'd like to turn the call back over to the operator for questions.
Operator: [Operator Instructions]. And our first question comes from Scott Krasik with Buckingham Research.
Scott Krasik: Obviously, some cautious comments around what you can and can't control in 4Q. So, maybe just help us understand at least the Famous -- what you're seeing from a comp perspective quarter-to-date.
Rick Ausick: Again, we had a little promotional shift from November into October. Discounting that, we're basically flat for the month.
Scott Krasik: Okay. And then that would probably make you like low singles ex that or a little worse than that?
Rick Ausick: I'm sorry?
Scott Krasik: Including the promo shifts, sort of like low singles or --?
Rick Ausick: Putting that in we'd be down low singles.
Scott Krasik: Okay, good. And then you made a bunch of comments about adjusting inventory, so maybe talk about where you are investing in inventory here as we finish up 4Q? And then any changes to how you're thinking about the business for next spring? Or is it mostly just a redux of what you saw last spring from a fashion perspective?
Rick Ausick: The only place we actually -- we did some adjustment on tall-shaft boots, obviously. That's the place we're struggling and the marketplace is struggling. Anything we bought additional on selling that we had good results in. We did place a few more booties. Nothing necessarily additional assortment, just some additional quantities of things we had in our assortment. Some that would be maybe lighter colors, so tans and taupes and things like that, that would sell into first quarter. We think that trend will continue so we've invested slightly heavier there. It's, again, nothing overboard but we think there could be a little more business there. All in all, our boot business is planned to have less inventory at the end of January than we had last year. So, even with those purchases we'd still be less. Other than that, on the athletic side, it's still being driven by lifestyle athletic. And we continue to find ways to invest in that category. We'll introduce newness in there in spring and obviously back-to-school. We're just working through all that. But we still see that business should be robust into 2016.
Scott Krasik: And then I think historically you didn't really match these aggressive boot promotions as department stores felt the need to clear out inventory. Are you signaling that you may participate this year or that continues to be the expectation?
Rick Ausick: We still believe that the best way for us to manage through our inventory and any issues we have is everyday pricing, is to continue to look at things as they sell on a weekly basis and lower prices where necessary. And maintain prices where the selling equates to getting us in the right inventory position we want at the end of any particular given period. Have we taken more pricing, more things down on tall-shaft boots in the last three or four weeks? Yes. Is it something that's crazy? I think it's just trying to react to selling. And we don't have any intention right now of coming in and adding something on top of that in addition to try to drive that inventory through. Again, could that change? Yes. We'll see next week. We'll look at it again on Monday and see what the weekend brings us. It could change but not in our plans right now.
Scott Krasik: And then, Diane, just one question on Sam, you didn't really break out the components of the contemporary Brand Portfolio, but maybe help us understand how Sam's doing from a sales and profitability standpoint in a tough environment.
Diane Sullivan: I tell you that, actually, we had very good performance actually at Sam's. Sam was up in the quarter, Vince was up in the quarter, Carlos and Fergie were up in the quarter. Via and Franco were down a little bit because of the boot impact, as was Scholl's. And Naturalizer just down 1% or 2% and LifeStride was up. So, Scott, where you would expect it, where the boot penetration is a little bit higher, some of those brands that's where it was a little bit softer. But overall I actually was really quite pleased with the performance of all the brands in the portfolio this quarter and we really like the look of what we see for the total fall season.
Operator: And your next question comes from Jeff Stein with Northcoast Research.
Jeff Stein: First of all, Diane, did you mention Naturalizer's performance during third quarter?
Diane Sullivan: I did. I talked a little bit about it in terms of retail. But Jeff, we're making nice progress on Naturalizer. We were up 0.3% at retail this quarter. Our dot-com was up 20%. Our wholesale business was just down a little bit but really see the -- that was on top of very, very strong performance in the spring season. And as we look to fall we think we're going to finish the year well. I would say early signs of nice progress, a lot more work to do but continuing to feel confident about the brand. I think the team's doing a really nice job of focusing on the things that are going to make a difference over the long term. So, a few bright lights this quarter and more expected.
Jeff Stein: What do you think has stabilized the retail side of the business?
Diane Sullivan: I think, frankly, it was a combination of talent and focus and, really, the sense of urgency that I think the teams felt to make sure that they needed to get this corrected. The sell-throughs of a lot of the product is a little bit better. We had some new programs in place called the Naturalizer Contour which has been selling really well in the stores that it's in. It's, I think, representing almost 10% of the total business in the stores. So, it's a combination. It's never one or two things, it's always a combination of a number of things that make a difference. I think it's talent, it's products, it's focus, it's the digital teams that we put in place. So, all of those things, Jeff.
Jeff Stein: Okay. A couple questions real quickly for Ken. Wondering if you could talk, Ken, a little bit about the supply chain? And, with the strength in the dollar and some of the supply chain initiatives you're working, when we might expect to start to see some of that benefit flow through the profit and loss statement?
Ken Hannah: A lot of the changes that have occurred, the team has been working with our partners. We would hope to see that in some of our spring and then more likely in our fall deliveries next year. But the team's done a nice job of working proactively there to make sure that we capture those savings. In addition, at our Investor Day we talked about the broader initiative. Those teams are all up and running and working towards the items that we had laid out at Investor Day. I think more to come and certainly would like to talk more about that at our next quarter meeting when we start to lay out 2016 guidance.
Jeff Stein: Okay. And, Ken, just one more question quickly, the other category, you had a decline in the expense line item there to $8.5 million from $11.8 million. Can you maybe tell us a little bit about what went into that drop?
Ken Hannah: Yes. A lot of that is just changes in terms of the way that we're doing some corporate allocations and things like that. When we went through and we sold shoes.com and we created the new segments, there are some differences in terms of the way that some of those costs have been allocated. That's most of it.
Operator: And your next question comes from Jay Sole with Morgan Stanley.
Jay Sole: Diane, it sounds like you said Famous.com was up 50%. Did I hear that correctly?
Diane Sullivan: You did, yes.
Jay Sole: Can you talk about what's driving that? That's really big growth. Is it related to the customer fulfillment initiative? Can you talk about what kind of growth you see from here at Famous.com?
Rick Ausick: The growth has been driven by two things. First of all, we're investing in marketing on the digital side and that's driving people to the sites. Secondly, we've invested in teams of people, both on the analytical side to understand how to better maximize our use of email and our mobile site upgrades. All those things are leading to having more traffic come. And then on the conversion side, when we started turning on stores to ship from store, so when we get orders we're able to take that traffic and actually convert it into more orders because we have more inventory available. We're now up to over 950 stores we're shipping from. That's only been a couple, about three weeks now, three or four weeks. We added 750 stores in the middle of October. But that's giving us a great deal of conversion opportunity. And I think traffic's up about 15% and our conversion's up 25% or 30%. So, you put those things together and that's where you get to the 45%, 50% increases. And I think that'll continue. We don't see that slowing down any time soon. I think obviously we'll come around on that sometime in June or July when we anniversary the first stores that went direct ship. So, that'll start mitigating a little bit but we still think there's a lot of life in that business.
Jay Sole: And maybe, Rick, if you could just follow up on that. Can you talk about the profitability of that, just generally speaking? Is it near the Company average, above, below? Anything directional would be helpful.
Rick Ausick: Yes. The profitability, the gross profit side of it gets impacted because of the shipping costs that are involved. So, that negates it a little bit. But you have to think about it as a sale that wasn't going to happen. This is a customer who came online, wasn't in a store, wanted to buy and so we fulfilled it. Are there people who come in and cherry pick price? Absolutely, because that's how online shopper works. Some of our clearance inventory is moving a little faster than we would have expected. But that was goods that we were going to have to sell either at those prices or lower prices in our stores. I think we have to get through it a little bit. Right now the margin is probably a tad lower than we'd like it to be. I think once we get through some of this understanding of how to manage our clearance a little bit better, I think that'll go away. I don't think it'll be that big of an issue going forward. And we've been able to overcome it other ways, as well. But it does have some impact.
Jay Sole: And maybe just one more if that's okay. On the wholesale side, Diane, you talked about expense control. That's been a consistent theme for the last few years. Are you able to shift some of those savings into marketing to really drive the wholesale business? Seen nice inflection in net comp at Naturalizer. Can you talk about some of the other things you are doing to really build brand equity in the various brands of the portfolio?
Diane Sullivan: It's a good question, Jay. We've been consistently investing in the Sam Edelman business. So, when you think about that, first and foremost, where, really, I would say that the next dollar investment goes on the Brand Portfolio side. And I think we talked quite a bit about that at our Investor Day. So, that's number one. The second place is really and against our Naturalizer business we've been doing quite a bit of work as it relates to that from both investing heavily on the digital side. Really, that's almost against our total Brand Portfolio. But a lot of focus this last quarter making sure we got that Naturalizer.com site to really perform and healthy overall retail performance. So, that was a big piece of it. And then as we look at really across the entire portfolio, particularly in the contemporary fashion space, we invest heavily in design and design talent. And we really see that as a critical place for how we're going to create differentiation for our products and our brands over a period of time. So, it shows up in lots of different places. It's digital, it's design, it's some marketing, it's store investments. It really runs the gamut, Jay. As we continue to perform, we will continue to plough more investment into making those brands great as we go forward.
Operator: And your next question is from Jill Nelson with Johnson Rice.
Jill Nelson: A question on third quarter, expense dollars were down and I believe you did see some heavier marketing just with the back-to-school shift, as well as I think you are investing in some new brands and what have you. Could you maybe talk about that expense dollar growth down on an absolute basis? And maybe some of the timing around these investments. Should we expect heavy investments fourth quarter and what have you? Thank you.
Ken Hannah: It's a shift quarter to quarter in discretionary spending. We had talked last quarter about, as we saw some back-to-school shift, the way that we're able to deploy our digital marketing dollars and bring that closer, actually, to the point of sale, that we were moving those. So, we've continued to do that. And our guidance is to lever our expense for the total year. We've purposely left that such that, as the business performs, we will continue to invest in the things that Diane just mentioned. And certainly feel like the teams have the plans in place that, as we generate incremental margin dollars, to be able to reinvest in the business.
Jill Nelson: And then just a bigger picture question, if you look at what's going on the retail industry for fall, a lot of the excess inventory and disruption across the marketplace. How do you think that's going to impact some of your wholesale customers going into the spring and ordering pattern?
Diane Sullivan: It's a good question, Jill and we're really monitoring that right now to see what happens. As we sit here today, we don't see a significant impact in the first quarter. I think we've got to get through the holiday season and into January to really have a better perspective about that. But right now, a little bit tighter planning around our inventory, obviously I think everybody's going to try to do that. But, again, if you have the right product and the right brands, then you're going to break through most of that noise. But it's certainly tricky out there right now. There is a lot of inventory. And we're going to see really what it's going to take to clear those goods over the next 90 or less days. I would expect, though, there's going to be some hangover, hard to really quantify yet. And I'm not seeing it today yet.
Operator: Your next question is from Laurent Vasilescu with Macquarie.
Unidentified Analyst: Hey, everyone, it's Stephanie on for Laurent. Congrats on a great quarter. We just have a couple of quick questions. First of all, during last year's fourth quarter you took actions to move around orders to different ports in order to mitigate the West Coast situation, while also moving some shipping dates around. How much did incremental freight expense impact fourth quarter last year in terms of basis points to the gross margin?
Diane Sullivan: I think we have actually no idea right now, to answer that question. We can follow up with you and find out what that answer is. I would bet it's not material. Or else, if it was, I think it would have appeared at this point in time. We'll get back to you, though, if it's anything significant
Unidentified Analyst: And then just secondly, with the Vince license agreement up for renewal in December, can you tell us where that stands and if there are any favorable economics in terms of a possible renegotiation?
Diane Sullivan: Actually, we have signed the agreement. We did that in September or October. So, we're all set for another three years. I would not count on any additional favorable terms on that. We feel really excited about the potential for that business, still. We had really nice growth in the third quarter on Vince. We expect that fourth quarter and next year to look terrific, as well. I don't know, Stephanie, you might not have heard this, but actually the founders of the Vince brand are back and involved for the next two years, Rea and Christopher LaPolice. So, we're very excited about that because we think that'll help re-energize that business and that brand. Along with Brendan Hoffman who has joined the team there, as well. So, I think that combination bodes well, so we're pretty excited about the prospects.
Operator: And your next question comes from Chris Svezia with Susquehanna Financial.
Chris Svezia: First, Rick, I'll start with you. Just comparisons, Famous Footwear, just any color about how the business formed as the third quarter unfolded. And can you just give us an idea about how fourth quarter maybe by month was last year?
Rick Ausick: Third quarter, again, September had the biggest comp. August had the next biggest comp. And those are both mid-single digits. And October was a low single digit. But October was the lowest entry. It peaked in September and then started to slow down a little bit into September and into October. And are you asked about what, then?
Chris Svezia: Fourth quarter, what it was like for fourth quarter last year, just cadence by month.
Rick Ausick: Last year, mid singles in November, low singles in December and high singles in January.
Chris Svezia: So, is it fair to say you still expect Famous to comp positively? Is that the plan for the fourth quarter?
Rick Ausick: Yes, that would be the plan.
Chris Svezia: Okay. And to go up against that high single-digit increase in January?
Rick Ausick: It got cold at the end of December into January. We had later winters. So, we sold a lot of our seasonal product in January, more so than we had in the past. Based on the weather, we're expecting something similar. We may not have the single digit but we should be able to comp it. And it's our absolutely smallest month of the year.
Chris Svezia: Okay. A question on your comment you made about your boot inventory and something like tall-shaft boots at Famous and how every week you look at the markdowns and decide what to do. Just give us an idea. If the environment continues to be extremely pressured, how much have you factored into your guidance, into your thought process, about getting really aggressive? Because it seems like you'll reassess it every week and if we need to get more aggressive we will. How much of that is baked into your plan for the quarter?
Rick Ausick: That's what we do forecasts for. So, what Diane and Ken have talked about as far as our fourth quarter and our yearly earnings. Everything we think is going to happen is in that forecast. If it gets a lot worse, obviously a lot worse isn't in our forecast. Something bad is in our forecast. Terrible is not in our forecast. So, that would be the thing we would have to go back and work on. Right now, again, as we look at it, we've done a couple of things. If the trend continued, what would that look like? If the trend got worse, what would that look like? If the trend got -- I mean, we've run 50 scenarios. So, we try to take one that we believe is the opportunity that we think is most relevant. The business got a lot better the last four days when the weather was a little colder. So, if we took the last four-day trend I would tell you we'd beat all those numbers. But we're not doing that. So, I think it's just a matter of getting through it, Chris. And it's no different than almost any other time. The difference is that there was a trend shift out of tall-shaft boots into booties and then the weather was unseasonably warm earlier than we had expected last year. Those two things are putting the pressure on the inventories. I don't think that it's a huge issue. I don't see us having a huge issue with it, but time will tell.
Chris Svezia: Okay. Wholesale, for a second here, just based on the guidance it assumes there's hose revenue growth in the fourth quarter at wholesale. Number one, correct me if I'm wrong. And, secondly, the overall gross margin for the Company for the fourth quarter, it looks like, based on your guidance that it should be flat to up. And correct me if I'm wrong there.
Diane Sullivan: In terms of the Brand Portfolio, yes, we're planning an increase in the fourth quarter. So, that's true, and the margin, Ken?
Ken Hannah: The margin is up. We're guiding up 15 basis points to 20 basis points for the year and I think year to date it's at 10 basis points. So, absolutely I think the one thing that Diane had mentioned earlier, when we talk about the branded business, we look at this over the entire fall season. So, the shifts in weather and the delays, it impacts our quarterly information, but when you look over the entire period a lot of that tends to work its way out. We're expecting our branded wholesale business to be up in the fall season and certainly the margin is representative, as well.
Operator: And your next question comes from Eddie Plank with Jefferies.
Eddie Plank: Diane, you talked about good growth at Sam and Vince and a couple of the other wholesale brands. Maybe give us a little bit more color on what's driving the strength. Is it a specific category or silhouette? Or is it just the fact that they may be less exposed to some of those boot issues?
Diane Sullivan: I think it's fundamentally the strength of those -- let me just talk about, really, Vince and Sam. They have been on a terrific trend and that trend, particularly for the Vince business, continues. They're less exposed for sure, Eddie, on the boot and booty side of things. There's a lot of sport driven business that's done in the Vince business right now. They had very strong performance in the third quarter. We expect that in the fourth. On Sam's business, he really did a great job in terms of planning his tall-shaft boots, the boot to booty ratio for the fall season. Those iconic shoes that he's had out there, the Petty and the Louie and all that, those have been really performing well. So, that really helped him weather a lot of the issues in the third quarter. That's been very strong for him. The rest of the brands, Carlos and Fergie did very nicely. LifeStride, as well. And, really, Naturalizer was close to flat and Franco was a little down. Those were the two businesses that were affected more by that shift. They really had a much higher boot and booty penetration to their total business for the third quarter. So, that's really primarily why. And we've been seeing the selling, not unlike, I'm sure what you've heard from lots of different folks, almost 3 to 1 in terms of booties to boots. Overall, I think, again, the teams have weathered the storm pretty well. Even how they planned their boots going into this year, for the most part almost everybody had planned it anywhere boots, tall boots, only 25% to maybe 40% of the total. So, they did a pretty nice job. As you sit back and look at it -- I looked at it today and evaluating when they were making the buys last February, they made significant shifts from tall-shaft boots to booties. So, I think that's why we're in as pretty good position in most brands as we're today.
Eddie Plank: If I could just ask one more, Rick, I just wanted a follow up on the comments you made at the Analyst Day around some of the work you're doing identifying high-value customers. Anything new to share there? Is there something you can do in the current holiday season to target those customers specifically?
Rick Ausick: We've been working on that. We have, again, our own internal list of people in our current CRM file we have identified and we're doing some work around them, things that we're testing to see how they respond and all those. But it's a small effort, Eddie, right now. The bigger effort will come in second quarter and beyond next year as we get more detail around the consumers that we're after and additional listing of consumers that we're not speaking to today directly. That's really the work we're doing now, is building models, understanding how some of the work we can do on our internal list to see if there's something there that would motivate people. So, we'll try some of those things but nothing on a grand scale yet.
Operator: And your next question comes from Steve Marotta with CL King & Associates.
Steve Marotta: Most of my questions have been asked and answered. I do have two questions. As it pertains to the current environment and the wholesale brands when you're looking forward to spring and summer of 2016, has the pace of current business negatively affected the order book? And what's going on at the department store level, again specifically more for the wholesale side of the business, when you look out to the first half of next year?
Diane Sullivan: No, not really, Steve. We have not really seen a significant change. We'll have to see how the January receipt plans go and all of that to see whether there's any shifting between January and February and that sort of thing. But in terms of how people are booking their business today, not a lot of new news. It's been a little more conservative overall. But that was really part of our plan as we thought about 2016. People are trying to operate with much less inventory and chase trends, as you are hearing and that's going to continue, I think. So, it's always a battle to really make sure we get the open to buy that we need up-front to drive the season.
Steve Marotta: Okay. And, Ken, can you remind us again, regarding the tax level this year, why it is where it is? And is that something -- I know you're not giving guidance for 2016, but just so there's some consistency within the model -- is the new norm between 28% and 30%? Or is there anomalies in there for the current fiscal year?
Ken Hannah: No, we have this year, based on some discrete tax items that we've been able to utilize some NOL carry-forwards that had been hung up on the balance sheet. That started with the sale of shoes.com. It freed up the ability for us to do some of that. That's a 2015 item. So, when we guide for 2016, I think, you'll see more of a normalized historical tax rate.
Operator: And your next question is from Sam Poser with Sterne Agee.
Ben Shamsian: It's Ben Shamsian for Sam. Thanks for taking my call. First for you, Rick, just a point of clarification. The comp quarter to date is down low singles. Is that right?
Rick Ausick: Correct.
Ben Shamsian: Okay. Traffic was up in the stores. This is after about six quarters of it being down. Can you help us understand if there was any change as to what you guys are doing or if it's all the e-commerce business that's really driving the traffic?
Rick Ausick: Yes. The number we quoted was total traffic which would be everything through our e-commerce sites and into stores. So, we have a higher traffic level on our e-commerce sites and we still have a lower traffic level in our stores. But totally we're engaging with more customers today that we have in the past.
Ben Shamsian: Okay. So, the brick-and-mortar traffic was down.
Rick Ausick: Yes.
Ben Shamsian: And then for you, Ken, I noticed the unallocated piece of the SG&A, that's been down as a percentage of sales the last few quarters. Can you help us understand what that should look like on a full-year basis going forward as a percentage of sales?
Ken Hannah: Are you referring to the other reported segment? Is that what you're referring to?
Ben Shamsian: Correct.
Ken Hannah: We've seen some favorability there. As we've managed expenses, obviously lower corporate overhead and expenses would show up there year-over-year, any pension income that we have that's not allocated back to the businesses would show up there. I think in the end that's all contemplated in the $1.95 to $2.00 range for the year.
Ben Shamsian: I understand, but going forward is that -- traditionally it's been around 1.9% of total sales -- is that going to be lower going forward?
Ken Hannah: I think we would expect the current level of trends for this year to continue into next year as we manage the overall expense structure.
Ben Shamsian: And then for you, Diane, on the wholesale side of the business, what level of sales growth do you need to get some consistent operating margin growth in that business? Can you help us understand that?
Diane Sullivan: I don't think I could tell you that off the top of my head because we really look at it by each of the different platforms. And then by brand it's a little bit differently. But I would imagine it would have to be probably somewhere in the 1% to 2% spend. That would be a pretty educated guess on that.
Operator: We have reached the allotted time for questions and I would like to turn the conference back over to our presenters.
Diane Sullivan: Okay. Thank you, everybody, for joining us this afternoon and for your interest in Caleres. We wish all of you a very happy Thanksgiving. And we look forward to seeing you next week, I think, for those of you that are going to be attending the Market Week. Take care. Bye.
Operator: Thank you for your participation. This does conclude today's conference call and you may now disconnect.